Operator: Good afternoon, ladies and gentlemen, and welcome to Systemax Fourth Quarter and Full Year 2011 Earnings Teleconference Call. [Operator Instructions] As a reminder, this conference call is being recorded today, February 28, 2012. At this time, I would like to turn the call over to Mr. Jeff Majtyka of Brainerd Communicators. Please go ahead. 
Jeff Majtyka: Thank you, operator. Welcome, everyone, to the Systemax Fourth Quarter and Full Year 2011 Earnings Conference Call. I'm here today with Richard Leeds, Chairman and Chief Executive Officer of Systemax; and Larry Reinhold, Executive Vice President and Chief Financial Officer. 
 Today's discussion may include certain forward-looking statements. It should be understood that actual results could differ materially from those projected due to a number of factors, including those described under the caption Forward-looking Statements in the company's annual report on Form 10-K. This call is property of and is copyrighted by Systemax, Inc. I will now turn the call over to Mr. Richard Leeds. 
Richard Leeds: Good afternoon, and thank you for joining us for today's fourth quarter and full year 2011 earnings call. Overall, our balanced focus on both the top and bottom line is delivering results as we saw improvements in gross margin, operating margin and EPS for the quarter and the full year.
 Performance in the quarter was highlighted by our business-to-business operations, which delivered very strong results as we continue to benefit from prudent investments in our sales force and our focus on building managed accounts. 
 Within our B2B results, the strongest performance was delivered by our Industrial Products segment, which generated another quarter of exceptional sales growth of over 27%. This reflects our expanded product line offerings, improvements in all our core categories and great execution. 
 Our North American technology B2B business also had strong sales growth over the prior year as we capitalized on our broader sales presence.
 Additionally, the European B2B technology business delivered sales growth on a local currency basis as we benefit from solid top line results from our U.K., Holland and Ireland operations. 
 Overall, we consider our European results to be impressive, specifically given the current macroeconomic situation in Southern Europe.
 Turning to our consumer channels. Revenue performance in the quarter was disappointing and not entirely unexpected given our decision to focus on higher profitability and not fully engage in free trade and other promotional price activities during the holiday selling season.
 Sales of products through television shopping networks, which are included in our consumer channel sales, were down significantly and were the largest single factor contributing to the consumer sales decline during the quarter. We were also in the process of restructuring our private label product program in North American technology, which is being modeled after our highly successful Industrial Products private label business. This restructuring is not yet complete, and our Q4 results reflect that. 
 With that said, we believe this change will allow us to significantly broaden our private label product offering to substantially improve the profitability of this business in the long run.
 Looking at our consumer product categories for the quarter, it appears to perform very well, particularly tablets, which grew over 400%, as well as our desktop and laptop offerings. 
 Sales of flat-panel televisions during the fourth quarter were down significantly and were the largest single category decline. This reflects difficult comps from the year-ago period, where we recorded strong double-digit growth, as well as continued industry weakness in television sales.
 In our North American brick-and-mortar retail stores, revenue was off slightly in the quarter. However, for the full year, we had solid same-store sales performance that we believe outpaced the industry. 
 We have successfully rolled out Retail 2.0 para-mobility centers in 29 of our stores. During 2012, we plan on building our prototype store in the future concept that is currently under development.
 We anticipate that our store in the future will expand on established retail trends, including Retail 2.0 mobility and our optimal store size. 
 During the quarter, we drove a 70 basis point improvement in gross margin as we held product margins, moderated freight costs and benefit from all logistics cost reduction initiatives.
 Operating margin was up slightly for the quarter, resulting from our strong B2B channel results in both North America and Europe, which was partially offset by our North American technology performance. 
 Additionally, with the appointments of David Sprosty and Pim Dale as chief executives with our North American and European Technology Products Groups, and the promotion of Bob Dooley as the President of Global Industrial, we have significantly strengthened our management team. David, Pim and Bob provide us with experience and proven professionals to manage our 3 largest businesses.
 By splitting the technology leadership role, we'll be better positioned to meet the unique needs of these markets and support our future growth.
 Our new leadership structure allows -- also enables me to spend more of my time on our technology businesses and work closely with David and Pim on the operational and strategic initiatives in both North America and Europe.
 We are confident we have the right plan and the right management team to improve our performance in the long run. 
 Thanks. And with that, I'll pass the call to Larry. 
Lawrence Reinhold: Thank you, Richard. Our fourth quarter consolidated sales were $979 million, down 3% compared to the fourth quarter of last year. Full-year consolidated sales were $3.7 billion, up nearly 3%. On a constant currency basis, consolidated sales for the quarter were down 2% and, for the full year, were up 1%.
 Results for the quarter and year were driven by strong growth in our B2B operations, including our Industrial Products Group, our North America and Europe B2B technology business, this strong growth in B2B was offset by weakness in our consumer channel sales.
 Turning to our channels, our fourth quarter B2B channel sales grew 9% compared to last year. Our fourth quarter consumer channel sales declined 13%. Full-year B2B channel sales grew 12% compared to last year, and consumer channel sales declined 7%.
 On a geographic basis, our fourth quarter North American sales were $698 million, a decrease of 4% compared to last year and accounted for 71% of our total sales. 
 Our fourth quarter European sales were $282 million, essentially flat compared to last year and accounted for 29% of our total sales.
 Full-year North American sales grew 2% to $2.6 billion compared to last year, and European sales grew 5% to $1.1 billion.
 Turning to our business units, in our Technology Products Group. Our Technology Products group's fourth quarter worldwide sales were down 5% to $895 million and up 1% to $3.4 billion for the full year compared to last year. Technology Products' fourth quarter operating income was $17.7 million or $18.3 million, excluding one-time charges, and $68 million for the full year or $62.4 million, excluding one-time gains.
 Our European Technology business had modest fourth quarter sales growth on a local currency basis, driven by the U.K., Holland and Ireland markets. Our other European markets were soft, primarily as a result of the economic environment throughout Europe.
 Overall, we had a strong bottom line performance in the quarter, driven by the U.K. and France operations as we benefited from opportunistic product purchases and efficiencies from our larger operating footprint.
 Our North American technology B2B operations saw a mid-single-digit revenue increase in the quarter. We continue to benefit from IT upgrade trends and the investments in sales agents we made earlier in the year as agents worked through the typical ramp-up period in building their account books.
 Going forward, we remain focused on converting web sales into managed accounts and prudently investing in our sales force.
 Conversely, fourth quarter results for the North American consumer operations were soft, reflecting the competitive environment, freight promotional trends, the launch of our new private label business and reduced sales in our television shopping channel. We ended the year with 42 retail stores, unchanged from third quarter.
 We are preparing for our grand opening of our second store in Puerto Rico next month, and we remain active in the evaluation of potential new store locations.
 In our Industrial Products business, fourth quarter sales increased 27% to $83 million compared to last year. Full-year sales grew 28% to $320 million. Fourth quarter operating income grew 39% and 45% for the full year compared to last year.
 We further expanded various product lines and ended the fourth quarter with 485,000 total investor SKUs, up nearly double the amount last year and up 10% sequentially. We continue to benefit from the scalability of our e-commerce infrastructure and make additional investments to support our growth.
 In that regard, we will open a new outbound call center in the Western U.S. late in the first quarter of this year and are enhancing our logistics footprint to accommodate our growth.
 Consolidated gross margins for the quarter grew to 14.3%, a 70 basis point improvement from last year. Gross margin for the full year grew to 14.4%, an 80 basis point improvement from last year. Consolidated operating margin for the quarter was up slightly at 2.1% and, for the full year, grew 30 basis points to 2.2%. Excluding one-time items, consolidated operating margin for the year was essentially flat.
 Fourth quarter SG&A expense was 12.1% of sales versus 11.4% last year. Full year SG&A expense was 12.4% of sales versus 11.6% last year.
 Special charges during the quarter were $0.6 million on a pretax basis or $0.01 per share after-tax and consisted primarily of legal and professional fees related to a previously disclosed investigation and settlement for the former executive.
 Special net gains for the full year were $5.6 million on a pretax basis or $0.10 per share after-tax. The effective tax rate for the fourth quarter was 25.4%. For the full year, the effective tax rate was 30.9% compared to 35.6% last year.
 The lower effective tax rate this year reflects the company having higher pretax income in France compared to last year. The pretax income in France is partially offset by the use of net operating loss carryforwards that have a full valuation allowance applied.
 Earnings per diluted share totaled $0.40 for the quarter, up 18% compared to last year and were $1.47 for the full year, up 30%. 
 As of December 31, our balance sheet included $355 million of working capital, an increase of $54 million from last year, and $97 million in cash, an increase of $5 million from last year, reflecting our continuing efforts to proactively manage our balance sheet.
 The current ratio at December 31 was 1.9:1 and total debt was less than $10 million. With that, we would like to open the call up for questions. Operator? 
Operator: [Operator Instructions] Our next question comes from Anthony Lebiedzinski from Sidoti & Company. 
Anthony Lebiedzinski: First question is on the weakness in the television shopping networks. The weakness I assume was in the flat panel TVs. And if so, can you talk about the trends that you saw during the quarter? And have you seen any changes so far in the first quarter? 
Richard Leeds: Anthony, it's Richard. When you look at the TV shopping channels, right, you have to remember that there's only a few players in there and they are very large customers that we deal with. And we are somewhat subjective to what they want to air, whether they want to air, electronics or jewelry. In the quarter, they made a decision to air less electronics. Their -- that's their decision, and we are somewhat at the whim of their decision. So I hope that answers your question. 
Anthony Lebiedzinski: And has that trend continued so far in this quarter over here? 
Richard Leeds: We are working continuously to get their volume up with them. We believe that the selling of electronics on TV is a good channel for us, and it's a good channel for them and ultimately, a good channel for their customers. So I mean, we're working on that very feverishly to get that back -- to get their volume back up. 
Anthony Lebiedzinski: Okay. And just wanted to get a better sense of the magnitude of the free-shipping promotions you mentioned that you did not fully engage in the free freight and the promotional pricing during the season. So just if you could just give us a little bit more color as to how you approach the promotions fourth quarter of 2011 compared to fourth quarter of 2010? 
Richard Leeds: Well, I mean, some of our competitors drive promotional on free shipping. I mean, one of our competitors lost almost $1 billion on freight in the fourth quarter alone and went out and really affected their earnings by that and by being -- as well as by being promotional on pricing. we worked -- we were competitive with free freight in the quarter, we didn't go all-chips-in for the entire quarter and we were somewhat surgical in it and the side, as we said in our press release and previously, we decided to be judicial about where we're going to be promotional on freight and price and try to protect our bottom line. 
Anthony Lebiedzinski: Okay. And in the mobility centers, where do you see that trending over the course of the year? I think you said was 29 at the end of Q4? 
Richard Leeds: Yes. They're still new, I mean we think they have a lot of potential to go up because of .... They're basically new in the stores, new to our customers and as our customers learn that we have the mobility centers in the stores and we get better at selling to our customer these products, we think that has a real opportunity for us. 
Operator: This ends our Q&A session. I will turn it back to management for closing remarks. 
Richard Leeds: All right. Thank you, everybody, and we look forward to reporting our first quarter results. Take care. 
Operator: Ladies and gentlemen, thank you for participating in today's program. This concludes the program. You may all disconnect.